Operator: Good day, and welcome to the First Quarter 2012 Equifax Earnings Release Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Mr. Jeff Dodge. Please go ahead, sir.
Jeffrey L. Dodge: Good morning. Welcome to today's conference call. I'm Jeff Dodge, Investor Relations. And with me today are Rick Smith, Chairman and Chief Executive Officer; and Lee Adrean, Chief Financial Officer. Today's call is being recorded. An archive of the recording will be available later today in the Investor Relations section in the About Equifax tab of our website at www.equifax.com. During this call, we'll be making certain forward-looking statements to help you understand Equifax and its business environment. These statements involve a number of risks, uncertainties and other factors that could cause actual results to differ materially from our expectations. Certain risk factors inherent in our business are set forth in the filings with the SEC, including our 2011 Form 10-K and subsequent filings. We will refer to a non-GAAP financial measure, adjusted diluted EPS attributable to Equifax, which excludes acquisition-related amortization expense. Since our Brazilian operations were emerged with Boa Vista on May 31, 2011, we also present revenue growth excluding Brazil, to provide a clearer understanding of our revenue growth for those businesses that will continue to be reported in our operating results. These measures are detailed in our non-GAAP reconciliation tables included with our earnings release and also posted on our website. Please refer to the non-GAAP reconciliation and our various investor presentations, which are posted in the Investor Relations section under the About Equifax tab at our website for further details. Now I'd like to turn it over to Rick.
Richard F. Smith: Thanks, Jeff, and good morning, everyone. As most of you know, we've made a number of commitments to some important foundational principles, which have guided this company for the past 6.5 years. These principles include an intense focus on growth, new product innovation, accountability, LEAN, strategic acquisitions, as well as leveraging our analytic expertise and unique data assets across all business units. Our execution against these commitments continues to pay off. The momentum and broad-based performance we delivered throughout 2011 positioned us well for 2012. For the first quarter, strong double-digit growth from our 4 largest business units resulted in record revenue growth and record growth in adjusted EPS. The results were significantly ahead of our expectations as we entered the year. Shortly, I will update you on our full year outlook. But as you would assume, our optimism and confidence for the full year has improved. Taking a quick look at some of the high-level financials for the quarter, total revenue was $523 million, up 11% over a year ago, excluding Brazil. Total revenue was up 15% for the quarter and up 16% in constant dollars. Our operating margin was 27 -- or 24.7%, up 160 basis points from a year ago. Finally, adjusted EPS was $0.70, which is up 21% from $0.58 a year ago. And as I normally do, I'll go through some highlights of each of the 5 business units, then I'll hand it over to Lee for the financials. Starting with USCIS. They had one of their strongest quarters ever, bolstered by very broad-based growth. The theme, by the way, you're going to hear throughout all of the units. This performance in the first quarter was extremely broad based. We had great growth in Auto, Telco, FIs, Mortgage and Insurance. We also increased our transaction with new products, accelerated the transaction activity in many of our larger customers and drove new strategic pricing programs across the board. Although -- along with strong revenue performance, operating margins in Online Consumer Information Solutions and Credit Marketing Services expanded nicely during the quarter, and with the primary drivers behind a 241 basis point improvement in USCIS' operating margin versus a year ago. Our execution in targeted verticals continues to improve and is delivering meaningful incremental revenue growth. During the quarter, we had double-digit growth in our key client program. And to refresh your memory, the key client program of the top 4 banks in the U.S. are what we focus on. We also had great double-digit growth in our channel partners in addition to Telco, Auto, Financial Services and Insurance sectors; all double-digit growth. We have consolidated all of our analytic talent throughout the organization to further leverage their expertise, their familiarity with our vast array of data assets and deep understanding of our customers' needs in today's fast-changing and highly competitive market. That was done just a quarter ago and the benefits of that new structure should yield in the coming quarters. Continuing with USCIS. Transaction with our new products continues. Of the products launched in 2009, 2010, and 2011, 29 of those products are now delivering revenue that exceeds our NPI target for the quarter, and those are allowing us to win in the marketplace. We're also in the beginning stages of developing strategies for new applications that use our vast data assets and analytical capabilities, such as mobile payments and marketing. We continue to make good progress in the government sector, particularly with our ID management solutions. In Retail Banking, we have completed the development of the DDA checking account score, which will be used in the account opening process. This new product will be launched in the second quarter. Finally, USCIS has intensified their sales efforts to increase the penetration of TALX Workforce Solutions products into the financial sector. And performance was significantly ahead of our target for the first quarter. Moving on to International. International, excluding Brazil, continues to leverage its strong market position to deliver strong double-digit growth at very attractive margins. As we have said in the past, International is a very important contributor to our long-term growth. We'll continue to invest aggressively to expand the contributions of International revenues, but we'll maintain our disciplined approach to ensure they deliver an appropriate return to the shareholders. International's new product innovation in key industry focus was made with major contributors to a strong double-digit growth in both Europe and Latin America, when you exclude Brazil. NPI represented 9% of revenue for the quarter, and some very successful products came out of the mix and new products were introduced into these markets. And from revenue, from Financial Institutions, Telco and Auto sectors, all grew at strong double-digit growth rates for the quarter. In the U.K., our Personal Solutions product line brought an amazing 53% in the quarter. To ensure continuous success, we are leveraging the skills and expertise of our North America Personal Solutions team, led by Trey Loughran, and their technology platforms to support a broader, more diversified product portfolio mix in the U.K. Analytical services, which represents almost 10% of International revenue, delivered strong double-digit growth in all geographic segments. In short, a strong broad-based performance driven by solid execution in our core business initiatives. Moving on to TALX Workforce Solutions, experienced very strong broad-based growth. Again, a theme you're going to hear across the company. That growth was across all verticals for The Work Number. Mortgage, Consumer Finance, Government and Pre-employment were all up strong double-digit. We've identified a number of new opportunities that further monetize The Work Number database. For example, in 2011, over $48 million of revenue came solely from historical records in the database. Pre-employment screening, auto reviews and due diligence activities are all creating new opportunities to leverage these historical records, and that trend will continue going forward. Total records for the database were up 4% for the quarter, and we added 79 new contributors of data in the quarter. In addition, a number of initiatives are underway to broaden and further penetrate our verifier base. We're making good progress on bundling the additional services with our existing verifier customers and entering non-mortgage related verticals to drive highly profitable incremental revenue growth. Finally, for TALX, the eThority acquisition, which we made in 2011, is enabling TALX to develop high-value added analytic product offerings that will deepen our relationship with employers who contribute data into The Work Number database. Next, PSol. North America Personal Solutions delivered another strong performance, driven by its high-value product offerings, strong customer relationships and commitment to continually improving performance on their key metrics such as churn, ARPU and subscriber base. Market penetration continued to be strong as new build subscribers additions in the U.S. grew by 14% in the quarter. We're also leveraging our U.S. technology platforms and product portfolio in Canada, and as I've mentioned before, in the U.K., to further their success in the direct-to-consumer market. Finally, North American Commercial Solutions. Their results were below our expectations for the quarter with growth of 1%. Transaction-based revenue on the risk side grew 10%. But project-based revenues fell as we saw corporate clients cut back on or delay or reduce the size of discretionary spend on projects. However, based upon the current pipeline of revenue opportunities, we see growth improving in Commercial for the balance of the year. Overall, our performance for the first quarter was better than we expected and provided a very strong start to the year. Lee, if you'd take it from there?
Lee Adrean: Thanks, Rick, and good morning, everyone. This morning, I'll be referring to the financial results generally presented on a GAAP basis. You should also refer to the Q&A and non-GAAP reconciliations attached to our earnings release for additional financial information. Continued strong execution from our 4 largest businesses, coupled with a better-than-expected mortgage market and the incremental operating leverage in our transaction-oriented segments enabled us to deliver very successful first quarter performance. Compared to the same quarter in 2011, for the first quarter of 2012, consolidated revenue of $523 million was up 11% on a reported basis and 15% when Brazil is excluded from 2011 revenue. Excluding the impact of changes in foreign exchange rates, revenue was also up 11% or 16% excluding Brazil. Operating margin was 24.7% compared to 23.1% in the first quarter of 2011. And diluted EPS attributable to Equifax is $0.58, up 27% from the first quarter of 2011. Excluding the impact of acquisition-related and intangible amortization, adjusted EPS attributable to Equifax was $0.70 a share, up 21% from the first quarter a year ago. Moving to the individual business units. U.S. Consumer Information Solutions revenue was $218 million, up 20% over a year ago. Online Consumer Information Solutions revenue was $149 million, up 24%. About 1/3 of this growth came from the mortgage sector, which explains the acceleration of growth from the fourth quarter of 17% growth rate. The remaining drivers of this high-growth were largely the same factors which drove the fourth quarter, new products, conversion of new customers, certain pricing actions taken a year ago and growth in transaction demand from existing customers. First quarter online volume was up 16%, continuing the strong double-digit growth that began in the fourth quarter. Mortgage Solutions revenue of $34 million was up 26% compared to the first quarter a year ago. Both core mortgage reporting and Settlement Services delivered strong double-digit growth in the quarter. Consumer Financial Marketing Services revenue was $34 million, up 2%. Credit Marketing Services delivered broad-based, double-digit growth in the quarter, more than offsetting a lower level of project revenue in our IXi segment. The operating margin for U.S. Consumer Information Solutions was 36.5%, up from 34.1% in the first quarter of 2011. Our International revenue was $121 million. Excluding Brazil, following its deconsolidation in the second quarter of 2011, reported revenue grew 12% and local currency revenue growth was 15%. By region, Latin America's revenue was $47 million. Excluding Brazil from the prior-year comparison, reported revenue grew 15% U.S. dollars and 18% in local currency. Growth was broad based, beginning with solid double-digit growth in Consumer and Commercial Information, and strong double-digit growth in technology and analytic services and marketing services. Europe's revenue was $43 million, up 15% in U.S. dollars and up 18% in local currency. Workload, which accounted for approximately 5 points of growth, along with solid double-digit growth in U.K. Analytical Services, U.K. Personal Solutions and Iberia were the primary contributors to another strong performance in this geography. Added Consumer Information revenue was $31 million, up 5% in U.S. dollars and 7% in local currency. Strong double-digit growth in our analytics solutions, including conversions to our generic risks or portfolio insights and neighborhood view were the principal drivers of this growth. International's operating margins was 31.8%, up from 23.4% in 2011, reflecting primarily the deconsolidation of Brazil in the second quarter. Margin expansion in the U.K. and Canada also contributed positively. For the quarter, TALX Workforce Solutions revenue was $114 million for the quarter, up 14%. Verification Services, with revenue of $57 million, was up 37% for the quarter. Approximately 60% of that growth came from broad-based organic growth in mortgage, government, consumer finance and pre-employment online verifications, while the remaining growth came from the acquisition of DataVision in August a year ago. Employer Services revenue was $57 million, down 2%, primarily due to lighter unemployment compensation claims activity. The TALX operating margin was 23%, up from 21.9% in the first quarter of 2011, largely due to the strong performance in Verification Services. North America Personal Solutions revenue was $50 million, up 11% from a year ago. Strong double-digit growth in business to consumer subscription revenue was driven by single-digit growth in ending subscriber volume and double-digit growth in ARPU, as new customers purchase and existing customers trade up to the higher value Equifax complete suite of products. Canada exhibited strong double-digit growth as a result of leveraging our U.S. technology platform and product portfolio in Canada. Strong double-digit growth in subscription revenue more than offset declines in both breach and transaction revenues. And our operating margin was 28.3%, down slightly from 28.7% in the first quarter a year ago, reflecting stronger marketing activity. North America Commercial Solutions revenue was $21 million, up 1% on a reported and local currency basis. Strong double-digit growth in transaction revenue was offset by lower risk and marketing project-related revenue. The operating margin was 16.8%, down from 24.9% in the year-ago quarter, primarily resulting from the lower project revenue and continued investment in the long-term strategy for this business. Corporate expense was up 49% compared to the first quarter of 2011, largely due to executive stock-based compensation that occurred in the second quarter in 2011, but was moved to the first quarter in 2012 to coincide with our annual board evaluation of management. And 2 additional incentive compensation, driven by our very strong first quarter outperformance. Now let me turn it back to Rick.
Richard F. Smith: Thanks, Lee. On the second quarter outlook, assuming current exchange rates and excluding Brazil, we expect to deliver revenue growth from continuing operations between 12% and 14%. And adjusted EPS from continuing operations is expected to be between $0.70 and $0.73 a share, which will be up 15% to 20% when you compare it second quarter of 2011. With strong performance in our core markets and continued effective execution on our initiatives, our optimism and confidence for the full year of 2012 outlook has clearly strengthened from a quarter ago. Now, although the mortgage market has been much stronger in the first quarter when compared to original expectations, we now expect it to start slowing as we exit the second quarter, enter the third quarter for the balance of the year, and come closer to the range we gave in our release in February. As a result, our view of the full year is that revenue growth for the company, excluding Brazil, will now be between 10% and 12%, which is at or above the upper end of our long-term growth rate target we've talked about in the past. As we said in the past, earnings should grow an additional 2% to 3% as improved -- as a result of improved operating and financial leverage. If the mortgage market does better than we expect, we should be able to deliver even stronger performance over the year. Time will tell how the mortgage market unfolds. Along with our improved outlook for the year, I want to provide you an update on each of our business units and how they are looking for the balance of the year. Starting with USCIS, we expect them to deliver double-digit revenue growth despite tougher year-on-year comps as we exit this year. TALX Workforce Solutions is expected to deliver upper single-digit growth for the year as they continue to drive new product innovations, market segmentation and expand the record count for the Work Number database. Personal Solutions will continue to leverage momentum from 2011 to deliver double-digit revenue growth in 2012. In Commercial Solutions, we have a great -- we had great customer traction with our transaction-based services. But I've mentioned before, we experienced some challenges with our project-related revenue. But the pipeline is strong and the momentum will pick back up and as a result, we anticipate 2012 revenue growth will be in the upper single-digit range. International still should continue to deliver strong double-digit revenue growth for the year. So operator, with that, we would it up open for questions.
Operator: [Operator Instructions] And we'll take our first question from Carter Malloy with Stephens Inc.
Carter Malloy - Stephens Inc., Research Division: First off, I want to talk about the core OCIS business. Really big growth in there, even when we strip away a lot of things. So I assume pricing played a key role there. And if you'd give a sort of overview of pricing, as well as -- specifically, within the affiliate channels there, what type of moods we saw this quarter?
Richard F. Smith: Yes. Again, what you saw was a very high level. But this growth, as you stated in USCIS, was extremely broad based. Almost every major vertical that you can think of was up strong double-digit, so -- which is great. NPI continued to play a big role as well. On pricing, we did announce a series of pricing initiatives middle of last year, Carter, which will sunset as we exit the second quarter of 2011. And that did pay -- pay some dividends for stock. Mortgage obviously was strong, that gave us a little bit of growth as well. Transaction volume, though, was extremely strong, as we mentioned in the numbers as well. Specific to the -- was it the resell market you were...
Carter Malloy - Stephens Inc., Research Division: Yes.
Jeffrey L. Dodge: We don't have those on the book now.
Richard F. Smith: We don’t have them, Carter.
Carter Malloy - Stephens Inc., Research Division: Understood, no worries. And then as far as your International outlook, also very strong there in their performance. Can you drill down specifically on Europe and U.K., sort of external of Iberia? And also why exactly PSol is up so much and should that continue?
Richard F. Smith: Yes. The growth in Europe was broad-based, as you mentioned. Iberia was very strong, which is counterintuitive to the -- what you read and see in the markets in general terms in Iberia. U.K. continues to be extremely strong across all verticals, all markets. Most of it organic, Lee gave you a breakout there. If you extract out the Workload acquisition, I believe it was like 13%, 14% organic growth. So, strong. Specific to PSol in the U.K., that growth -- it's been a renewed focus from the leadership team in the U.K. Leveraging best practices and ideas that have helped the U.S. win and helped Canada win. We're now deploying those at a rapid rate in the U.K., so just a fabulous result in the U.K.
Carter Malloy - Stephens Inc., Research Division: That's great. And then lastly, of The Work Number revenues, how much of that exactly is mortgage related?
Richard F. Smith: We don't break that out specifically, Carter. But again, if you -- my words, and I think Lee talked about it as well, The Work Number growth was extremely broad based. And you're getting accelerated growth in non-mortgage and rate growth from the mortgage sector. So it's -- it's broad based, not just mortgage.
Carter Malloy - Stephens Inc., Research Division: Understood. But would it be fair to say that it's still, at this point, a majority mortgage at least?
Richard F. Smith: Yes.
Operator: And next we'll hear from Andrew Jeffrey with SunTrust.
Andrew W. Jeffrey - SunTrust Robinson Humphrey, Inc., Research Division: A couple, actually. Rick, as you consider the mortgage environment and your expectations for a normalization, if you will, can you talk about what you think sustainable volume growth is in a recovering U.S. consumer credit economy within your USCIS segment?
Richard F. Smith: For the core non-mortgage or core mortgage?
Andrew W. Jeffrey - SunTrust Robinson Humphrey, Inc., Research Division: Well, no, I'm -- I'm actually asking about what you think total volume growth will be in the segment assuming a more normalized mortgage environment. So rather than the upside we've seen in the last couple of quarters.
Richard F. Smith: Yes. So if you exclude the upside in mortgage, and look at just the core -- so you forget some of the new product innovation initiatives that Rudy and his team are driving -- how do you expect mid single-digit kind of growth going forward for the core USCIS?
Andrew W. Jeffrey - SunTrust Robinson Humphrey, Inc., Research Division: Okay. And I'm not sure if you mentioned it in your prepared remarks this quarter, but how much revenue growth did USCIS enjoy from NPI?
Richard F. Smith: I did not. It's -- I mentioned 29 products, part -- that exceeded our expectations over the last 3 years. I don't have that off the top of my head. They're performing at or above the company level.
Andrew W. Jeffrey - SunTrust Robinson Humphrey, Inc., Research Division: So it's safe to assume it's a couple of points kind of -- at least kind of consistent with prior quarters?
Lee Adrean: Yes.
Richard F. Smith: Yes.
Andrew W. Jeffrey - SunTrust Robinson Humphrey, Inc., Research Division: Okay. And then one more, if I might. Regarding incremental USCIS profitability. Given the very high level of volume, margins are up year-on-year. But we haven't really seen a meaningful acceleration. Should we expect one? Or what's the dynamic there as we continue to see volume recover?
Richard F. Smith: Are you referring specifically to the USCIS?
Andrew W. Jeffrey - SunTrust Robinson Humphrey, Inc., Research Division: Yes. The segment margin.
Richard F. Smith: Lee?
Lee Adrean: Yes. I mean, it is up 240 basis points, which I consider to be pretty good. But of the watch outs you have to look for in that business, a couple of things: First, when mortgage happens to be a strong driver of growth, certain of the mortgage revenue is very high incremental margin, but certain of it, such as our tri-merge reporting, our Settlement Services have significant pass-through costs. So the blended margin on the incremental margin is not -- mortgage is not the same. It's just selling a whole lot more credit report. So you got to be a little careful on that point. The other, and it comes back to the point you raised about NPI is, we're not going to sustain, Rick said, mid-single digits. And of course, internally, we're trying to push to higher levels than that. But we're not going to sustain that simply sitting here and waiting to sell more credit reports. So we're driving a lot of investment in new product. We're moving into some new end use markets and channels. And all of that takes some level of investment. And at these rates of growth, I think people would be very, very happy with the growth we're achieving, while still expanding margins. But it's not going to -- 240 basis points is darn good and it's not going to accelerate from that rate of growth. But we do think over the next year or 2, we continue to see some improvement in the margin in that segment.
Operator: Our next question will come from George Mihalos with Credit Suisse.
Georgios Mihalos - Crédit Suisse AG, Research Division: Wanted to lead off on the OCIS side. You mentioned a number of different things driving outsized growth there. Has anything changed on the competitive front? Are you winning more business competitively? And then as you kind of look out to the back half of the year going forward, on the pricing side, obviously it's been favorable now for the last couple of quarters. Should we expect kind of a more normalized environment where there's a bit of a negative delta between the report growth in your actual OCIS revenue growth?
Richard F. Smith: 2 good questions. On the first piece, it's a couple of thoughts, it's a continuation of what you've seen the last couple of years, George. It is one, because we have a unique data asset, we are solving problems we couldn't solve before. Hence, the consumers are spending new monies that they never spent before. So the pie of opportunity has grown clearly. That's number one. And number two, as we've highlighted in the past, we have taken share in different sectors, different verticals over the past few years in the U.S. and that continues to benefit us. As far as pricing goes, we invest a lot of money, a lot of time and energy on segmentation, bundling, strategic pricing and the general trend is an improving trend there. The spike you're seeing now over the last 6 months or so, I'm not sure that's sustainable at this level, long term. That mean -- we -- we'll not continue to invest in strategic pricing, but we've got a significant step up, as you know. Where we used to see 1 to 2 points of compression in pricing, we're now seeing pricing expansion. I would think long term it would get closer to equilibrium possibly. And so we're not counting on the expansion you see now for -- lasting forever.
Georgios Mihalos - Crédit Suisse AG, Research Division: Great. That's very helpful. And just last question for me. Can you just give us overall what the contribution for mortgage was in the quarter, just overall mortgage business in general?
Richard F. Smith: We tend to say that mortgage runs between 14% and 22% of total revenue. We're clearly in that range, we're somewhere in the upper teens for this -- for the first quarter.
Operator: And next we'll go to Rayna Kumar with Evercore Partners.
Rayna Kumar - Evercore Partners Inc., Research Division: I'm calling in for David Togut. Can you please provide us with an update on the Boa Vista merger, maybe including the key milestones and where you see the margin outlook for this business?
Richard F. Smith: Sure. I was just down there, Rayna. That was the -- with the team. It's going as planned. The integration of products, people, strategy with customers is all going well, culture. Financially, it's going well. We're in the process now of developing a medium-term new platform, IT platform for the business. So it's sitting on all cylinders. It feels good, it's been well-received in the marketplace by our customers as well. So it's on plan as we expected and hoped for a year ago.
Rayna Kumar - Evercore Partners Inc., Research Division: Great. Also, what is your revenue outlook for TALX, maybe breaking it down between Verification Services and Employer Services? And where do you see this business progressing from here?
Richard F. Smith: We don't break a forecast down to that level, but I think I gave you a number earlier. So we expect it to be for the year, in the upper single digits. A strong growth this year.
Operator: And next we'll go to Eric Boyer with Wells Fargo.
Eric J. Boyer - Wells Fargo Securities, LLC, Research Division: Just on your guidance, what's the implied operating margin now with the raised outlook?
Richard F. Smith: When we talked earlier, I think it was first quarter, when we had our last call, our commitment was to get a 25 to 50 basis points improvement year-on-year, and that was a -- a long-term goal not just a short-term goal. So that still stands.
Eric J. Boyer - Wells Fargo Securities, LLC, Research Division: Okay. And with the increased revenue, I guess you're just investing more into the business?
Richard F. Smith: Correct.
Eric J. Boyer - Wells Fargo Securities, LLC, Research Division: Okay. And then you talked a lot about analytics. Recently, you mentioned it was 10% of International revenue. What's that number for the entire company? And also you talked about organizational changes you're making around analytics, talent. Can you talk a bit more about those changes and then the opportunities you're seeing with the analytics overall?
Richard F. Smith: Actually, we don’t break out the total percent of revenue coming from analytics. We just typically give you the numbers as a percent of the data that comes to us -- just one of our analytical platforms. But I gave you the International just as a -- some insight that the analyst is really making a big difference in the International platform. Specific to the organizational change, yes, we had to spearhead activities across the company. No uniform, standardized approach analytics. And we have seen through other structural changes we made, if we create one centralized team, their ability to exchange ideas and best practices, leverage investments in one location for the benefit of other location, move talent around, so on and so forth just made a lot of sense. So we've got a great new leader exploring that, a guy who's been with us now for a couple of years. He came from one of the large banks, so he led their risk team there, really understands analytics and he's building a world-class team to take analytics to the next level for us.
Operator: And next we will hear from Julio Quinteros with Goldman Sachs.
Julio C. Quinteros - Goldman Sachs Group Inc., Research Division: I wanted to just go back to some of the comments around discretionary spending in general. It sounded like you had 2 areas where discretionary was a little weaker in the commercial segment. And it sounded like also in part of the, if I'm not mistaken, I think it was part of the marketing area as well. Can you talk a little bit about the dynamics around discretionary spending in those areas? Is this typical project-based work? Just a color and a dive in terms of what we might be seeing on the discretionary side of the project-based work, if you will?
Richard F. Smith: Yes, I'd say, it's -- whenever you look at project-based work, it tends to be lumpy, Julio. At times, that lumpiness can be to our benefit. At times that lumpiness can be to our demise. And just some larger projects that both the marketing side of CMS and on the risk side of CMS was looking at and also in commercial just didn't manifest itself in the quarter. So -- I don't think it's -- it's not something systemic that I'm worried about long term. It's just uneven as a short term, [indiscernible].
Julio C. Quinteros - Goldman Sachs Group Inc., Research Division: Okay. And then on the commercial side -- sorry, I guess, on the marketing side, is there any way to sort of isolate whether the lumpiness in the project base sort of is coming out of any particular vertical. I guess the financial services verticals is the one I'm trying to sort of zero in on in terms of just some of the lumpiness here in the project business?
Richard F. Smith: Yes. On the marketing side, it was non-commercial. On the marketing side, it is coming out of the advice.
Julio C. Quinteros - Goldman Sachs Group Inc., Research Division: Okay. Got it. And then if you can parse through -- I'm just trying to make sure -- I think, just to make sure I understand the drivers of the upside. I think you gave the number for the NPI contribution, but there was also -- it sounded like some pricing and volume components. Maybe just to help us understand the upside surprise, either relative to your own numbers or your own altered expectations. Was it more volume or NPI? More new client spending? What would you sort of say was the most relevant component there to the upside here?
Richard F. Smith: Are you talking any specific business unit or...
Julio C. Quinteros - Goldman Sachs Group Inc., Research Division: Yes. Well, I guess, if you wanted to focus on the USCIS part. Sorry.
Richard F. Smith: I'd say, in general terms, including USCIS, it is a far higher level of execution on our side. It is NPI continuing to run at very good levels. It is customers spending more money with us they have not spent in the past. Obviously, mortgage is up as well. It is truly, truly broad-based. Pricing, as you mentioned, was a benefit as well. And I'll be honest, we're getting a little help from the market, which is encouraging, excluding mortgage now because we know that's pretty strong. I wouldn't describe the market in the developing world as robust by any means, but for a couple of quarters now, we're seeing a little help from the economy. Banks starting to lend more, consumers starting to borrow more. So the underpinnings of a healthy business are for starting in the very early stages of -- of moving down the right path and helping the company.
Julio C. Quinteros - Goldman Sachs Group Inc., Research Division: Okay. And then just lastly, on the competitive front with the TransUnion transaction that went out. Any changes in the competitive dynamics that you guys are expected to see at this point or anything you might have said already?
Richard F. Smith: No. 2 years it has been and it will be a good competitor. They got good leadership team, good products. And I think the fact that Advent and Goldman Sachs now own them gives them some cash, possibly, to do some more things that they would have done in the past. But we respected them before they were bought by Advent and Goldman, and we respect them now.
Operator: And next we'll go to Shlomo Rosenbaum with Stifel, Nicolaus.
Shlomo Rosenbaum - Stifel, Nicolaus & Co., Inc., Research Division: What -- can you guys just isolate, what was the constant currency organic revenue growth, excluding mortgage?
Richard F. Smith: I believe it was around 9% to 10%.
Lee Adrean: 9%.
Shlomo Rosenbaum - Stifel, Nicolaus & Co., Inc., Research Division: 9% flat?
Richard F. Smith: Yes.
Lee Adrean: Shlomo, very simply, the mortgage market's combination of initiatives of our own plus the marketing activity was 5%, acquisition was about 2%, kind of organic non-mortgage was 9% out of -- that's the 16% constant dollar growth, ex Brazil.
Richard F. Smith: And Shlomo, the nuance in Lee's point that -- which should not be lost -- part of the mortgage growth is the market itself. Part is, we've invested heavily in innovation in mortgage. We're now selling products this year and last year that we haven't sold in the past. So a lot of that growth is just our innovation, our new products.
Shlomo Rosenbaum - Stifel, Nicolaus & Co., Inc., Research Division: Okay. Got you. I understand what you're saying. Can you talk a little bit about what you're seeing from the credit card banks with regards to the underwriting standards. We're hearing just a bit of loosening is going on over there.
Richard F. Smith: I'd agree with that. I'd agree with that, that they're -- they are showing signs -- and our data shows it, they're showing signs of going down market. Sub-prime credit card issuance is on the rise, so -- yes, it's nowhere close to what you saw back in the 2004, '05, '06 time frame. But it's definitely a little more aggressive than you are seeing in 2010, '11.
Shlomo Rosenbaum - Stifel, Nicolaus & Co., Inc., Research Division: Are you starting to see some copycats from competitors in there?
Richard F. Smith: I missed that; say that again?
Shlomo Rosenbaum - Stifel, Nicolaus & Co., Inc., Research Division: In other words, are you seeing some banks dipping their toes in and then you're seeing other ones following them a quarter later?
Richard F. Smith: Yes. It's pretty universal.
Shlomo Rosenbaum - Stifel, Nicolaus & Co., Inc., Research Division: Okay. And then -- you'll like this one, Rick. If you saw the Mortgage Bankers Association Application Index up above 50%, how come the mortgage dilutions was only up 26%?
Richard F. Smith: That's great. One, if you think about the applications -- and you're right, they did -- the MBA -- it was up 50-some-odd percent. A couple of things are happening: One is that a massive backlog -- many of these banks are locking in for 4 months the rates because they don't have the staff to get out the mortgage applications to convert the -- convert the applications to actual underwriting originations. Secondly, a percentage -- and the GSE's estimate somewhat from 25% and 30% of the volume we are now seeing an application is tied to HARP. And as you know, Shlomo, HARP does not require a -- that they pull a credit report at time of initial underwriting. But they do require it at the time of the actual approval. So the combination of those two, say, originations are running at a lagging rate versus applications, but a big chunk of that will catch up once they actually get the approval.
Shlomo Rosenbaum - Stifel, Nicolaus & Co., Inc., Research Division: So should we see some benefit in 2Q as we see some of that starting to flow through at the back end of those?
Richard F. Smith: Yes.
Lee Adrean: Shlomo, I would also point out, we have observed periods in the past where the MBA index submerges fairly significantly for some periods from the volumes that we, and I think our competitors see. It's a sampling challenge for the MBA. And, just -- so I would not take the MBA application index as the definitive measure of market activity.
Shlomo Rosenbaum - Stifel, Nicolaus & Co., Inc., Research Division: Okay. That's fair. And then just in terms of the timing of using some of the corporate expenses, is that -- on a normalized basis, if I'm modeling out for different years, when should we expect the equity grants to come? Should we think of it now...
Richard F. Smith: First quarter.
Shlomo Rosenbaum - Stifel, Nicolaus & Co., Inc., Research Division: ...we move from 2Q to 1Q?
Richard F. Smith: Historically, we're always Q1 and we made that move, I think, it was 2 years ago, Lee?
Lee Adrean: Yes.
Richard F. Smith: About half of the second quarter. And normally, you'd expect us to be on this cycle here, which is the first quarter, Shlomo. There may be exceptions to that. But the norm -- my, my preference is, and normal protocol would be first quarter.
Lee Adrean: Shlomo, one thing I would also point out, just thinking about the corporate line generally, we are undertaking some investments in systems infrastructure. Some things that we deferred through the recession but that are going to help us be more efficient and operate more effectively as an integrated company. Those -- just the initial piece started to hit in the first quarter. We're going to see higher levels of that investment later in the year. So there's definitely a timing element in the first quarter, but that doesn't necessarily mean you're going to see a big drop-off in the second quarter, because we are undertaking some of the things that are going to continue to allow us to operate as a highly integrated company and bring all of our strengths to bear across of our markets.
Shlomo Rosenbaum - Stifel, Nicolaus & Co., Inc., Research Division: Is that going to be a permanent step-up in investment spend or is that kind of a 1 to 2 year project?
Lee Adrean: It's probably a 2 year effort.
Operator: And next we'll hear from Dan Perlin with RBC Capital Markets.
Matthew V. Roswell - RBC Capital Markets, LLC, Research Division: It's actually Matt Roswell in for Dan. One quick question and then sort of a longer question. The quick question is about operating margin increase year-over-year. How much of that is tied to the Brazil change and how much of that was that of core operating expansion?
Richard F. Smith: So we said at the time of the consolidation, was it 9 months ago, Lee? We get about 100 basis points of margin lift from the deconsolidation of Brazil, so you can just simple do the math and the balance is standard operating leverage.
Matthew V. Roswell - RBC Capital Markets, LLC, Research Division: So -- I mean, was that fully in the first quarter? Because your operating margins were up about 60 basis points year-over-year and that would imply the core -- if Brazil was a 100 basis point tick up, that will imply that kind of ex-Brazil, margins would have been down year-over-year. Am I reading that correctly?
Lee Adrean: No. Our margins a year ago were 23.1%, moved up [indiscernible].
Matthew V. Roswell - RBC Capital Markets, LLC, Research Division: Okay. Yes. I see that now, thank you. The larger picture question, you've got revenue running ahead of expectations. Sounds like things are really good. Where should we see kind of reinvestment in the business this year? What sort of areas and then any changes to kind of capital deployment?
Richard F. Smith: I'll take a first stab and you do the deployment piece, Lee. Investment, continuing investment obviously in NPI like part of our growth. Investment, Lee just mentioned a second ago, investments from some of our systems infrastructure to allow us to operate more effectively and efficiently across the board. Third, to support the growth we'll continue to invest in some stacking where it makes sense, particularly in the sales product management, marketing, pricing arena. Those would be the 3 main areas. As far as capital deployment, Lee?
Lee Adrean: Really, no changes in terms of our priorities. Where we have appropriate acquisitions, we will pursue those. Appropriate meaning they fit our strategy and we can generate good returns for our shareholders. Beyond that, given where we are on our current capital structure, excess capital will generally flowback to shareholders through share repurchases.
Jeffrey L. Dodge: Okay, operator, at this point, we'll conclude the call, and I thank everybody for their participation. And we'll be available this afternoon if you have any other questions. Thanks again.
Operator: And that does conclude today's conference. Thank you for your participation.